Operator: Good afternoon everyone and thank you for participating in today's conference call to discuss Nature's Sunshine Financial Results for the Third Quarter Ended September 30th, 2020. Joining us today are Nature's Sunshine CEO, Terrence Moorehead; CFO, Joseph Baty; and Executive Vice President and General Counsel, Nathan Brower. Following their remarks, we'll open the call for your questions. Before we go further, I would like to turn the call over to Mr. Brower as he reads the company's Safe Harbor statement within the meaning of the Private Securities Litigation Reform Act of 1995 that provides important cautions regarding forward-looking statements.
Nathan Brower: Thank you. Good afternoon and thanks to all of you for joining our conference call to discuss our third quarter 2020 financial results. I'd like to remind everyone that this call is available for replay via telephonic dial-in through November 24th and via our live webcast that will be posted in the Investor Relations portion of our website at naturessunshine.com. The information on this call may contain certain forward-looking statements. These statements are often characterized by terminologies such as believe, hope, may, anticipate, expect, will, and other similar expressions. Forward-looking statements are not guarantees of future performance. And the actual results may be materially different from the results implied by forward-looking statements. Factors that could cause results to differ materially from those implied herein, include but are not limited to, those factors disclosed in the company's interim report on Form 10-K under the caption, Risk Factors, and other reports filed with the Securities and Exchange Commission. The information on this call speaks only as of today's date and the company disclaims any duty to update the information provided herein. Now, I'd like to turn the call over to the CEO of Nature's Sunshine, Terrence Moorehead. Terrence?
Terrence Moorehead: Thank you, Nate and good afternoon, everyone and thank you for joining today's call. I hope you're all well and staying safe as we continue to deal with the ongoing challenges of COVID-19. I'm very pleased to be here with you today to discuss our record breaking third quarter results, the excellent progress we've made transforming our business. That's an exciting initiative that we'll be launching in the coming days months. With me today is our Chief Financial Officer, Joe Baty, who will walk you through our financials in greater detail, but I'm going to kick things off with a brief overview of the business. Before I begin my formal remarks, I want to take a moment to put our historical third quarter results in perspective since 2020, has been such an extraordinary year. While the effects of COVID-19 and forced people to adapt and rethink their priorities, our team has continued to successfully transform the business, keeping the spirits high, while staying focused on implementing our strategies, achieving our objectives, and delivering improved results. At a time when you hear so many people talking about COVID, our team has worked tirelessly to ensure our transformation initiatives continue to move forward without disruption. Of course, our incredible practitioners and retailers have really made a difference as they continue to partner with us on transforming the business.
Joe Baty: Thanks, Terrence, and good afternoon everyone. Net sales in the third quarter increase 13% to a company record of $100.3 million, compared to $88.5 million in the same quarter last year. This increase was primarily driven by new product development, the easing of COVID restrictions across our several key markets and continued execution on our business transformation plans. Net sales in Asia increased 12% on a currency basis to $38.1 million, compared to $33.7 million in the year-ago quarter. The increase was primarily attributable to new brand and product launches as well as reopening of our Korean market. On local currency bases, net sales in China increased 27%. Japan sales increased 22% and in South Korea sales increased 9%, as these markets continue to benefit from lifted lockdown restrictions and are recalibrated incentive structures. Net sales in Europe increased 21% year-over-year in local currency to $18 million, compared to $14.6 million in the year ago quarter. The increase reflects strong growth in Central and Eastern Europe, including the continued strong performance in Russia and Poland. North American net sales increased 10%, on a local currency basis to $37.6 million compared to $34.2 million in the year ago quarter. The various strategic and e-commerce enhancements, we have implemented a position us well, as we continue to capitalize on the strong demand resurgence within the U.S. market. Our growth in this region is also supported by increased new customer acquisition. Next year, Latin America and other increased 14% in local currency to $6.6 million compared to $6 million a year ago quarter, with the increased primarily due to new product launches and the easing of COVID related restrictions. Gross margin, gross margin was 72.7%, compared to 74.3% in the prior year. The decline was primarily due to certain isolated inventory charges, higher material costs, and a delay in the planning of price increases in North America. Volume incentives as a percentage of net sales increased 50 basis points to 34.2%, compared to 33.7% in the same period last year. Selling, general and administrative expenses were $33.3 million, compared to $31.2 million in the prior year. The increase was primarily attributable to higher expenses related to our business model relaunch. As a percentage of net sales, SG&A expenses were 33.2%, compared to 35.2% in the same period in 2019. Excluding the impact of $23 million of restructuring expenses in the prior year and $21 million this year. SG&A expenses were 33.1% in net sales, compared to 34.8% in the prior year period. Operating income was $5.5 million or 5.5% of net sales, compared to operating income of $4.7 million, or 5.3% of net sales in the prior year period. Excluding restructuring related expenses, we generated $5.6 million of operating income, or 5.6% of net sales for the current quarter, compared to $5.1 million, or 5.8% of sales in the prior year period. Adjusted EBITDA is defined in our press release, as net income from continuing operations before income taxes, depreciation, amortization and other income or loss adjusted to exclude share-based compensation, and certain noted adjustments increased 13% to $9.4 million in the third quarter of 2020 as compared to $8.3 million in the third quarter of 2019. Overall the increase in EBITDA is driven by the aforementioned record net sales this quarter flowing through the bottom line. Net income attributable to common shareholders for the quarter was $6.9 million, or $0.34 per diluted share, as compared to $1.3 million or $0.07 per diluted share in the year ago period. Turning to liquidity. We had cash and cash equivalents on September 30 of $82.3 million and $5.4 million of debt. For the first nine months 2020, we generated $26.8 million of cash from operations, as compared to using cash for $5.5 million in the comparable prior year period. The increase is primarily due to the significant improvement in net income and the tightening of both working capital related adjustments and certain capital expenditures. While we expect to continue our strength into the fourth quarter, our investments in the next stages of our business transformation may increase your costs and profitability relative to this quarter. Further, we are closely monitoring any resurgence of COVID-19 cases across our geographies now that may affect their operations, especially in certain international markets, where reopening statuses have fluctuated. Despite these uncertainties, we are confident in our ability to continue executing on five global growth strategies, and believe we will continue to drive solid results through the remainder of 2020 in the beginning of 2021. Before opening questions, I wanted to reiterate our pride in our team strong performance and in the momentum built throughout the year. Now, I will turn it back over to the operator for Q&A. Operator?
Operator: Thank you.  We’ll take our first question from Steven Martin with Slater. Please go ahead.
Steven Martin: Hi, guys.
Terrence Moorehead: Hi, Steve, how are you doing?
Steven Martin: Good, good guys. Hope everyone's safe out there.
Terrence Moorehead: Yeah, yeah, absolutely. You too. Good to hear from you.
Steven Martin: You've been great, over the last couple of years on the margins and the costs. This was the first quarter where the gross margin and the volume incentive slipped a little. Should we expect that these are new levels of gross margin and volume incentives? Or what where do we expect them to go in the future?
Terrence Moorehead: Yeah. We thought some pressure on gross margins from kind of cost going up as a result of just sourcing within the COVID environment. But, Joe you want to talk about some additional factors as well, and what to expect going forward?
Joe Baty: Yeah. I mean -- I would look at it more as the near term situation, Steve, will expect long-term. And, I mean, in an individual quarter, we can certainly see a little bit of sensitivity or fluctuation on both, gross margin or a volume center basis. You reference both in your question. But from a longer term perspective, I would say that the he nine month year-to-date margins and expecting things are more in line with what we expect. And I would say, even from a longer term standpoint, we expect our gross margin actually to improve.
Terrence Moorehead: Yeah.
Steven Martin: Like I would have expected with volume increases, with having the first, double-digit up quarter that you might see some of that into the gross margin.
Terrence Moorehead: Go ahead.
Steven Martin: Go ahead.
Terrence Moorehead: No, I think you said you kept for the Joe, which is that temporary flex short-term. But we do have pretty aggressive long-term plans and expectations to do those margins.
Steven Martin: Okay. And the question I asked you guys every quarter, what any turnaround at the top line and cost containment?
Terrence Moorehead: I'll take the top line. It still listed up. I'll take the top line. In terms of top line, we're still early on. We just want as I mentioned, in September, we just launched the bulk of our business model components. And we'll continue to refine and fine tune those in an effort to make sure that they work for all the various constituents out there. And we still have a number of things that we haven't even really launched yet that are up on deck to stick with our baseball analogy here. So we're still early innings, with respect to revenue growth. And then on operating growth, Joe you want to add some comments.
Joe Baty: Yes. As we noted last time, Steve, I appreciate question, and please continue to ask it, because it's something that we monitor. And I believe we're very much on top of, but we do believe we're in the back half of the ballgame. I'm not going to say, we're in the necessarily synthetic stretch yet at least long-term. But as far as the similar near term initiatives, and what we're looking to accomplish, some of the organization restructuring swamp, I would say we're well under the ballgame. We still have a little bit of work to do, but clearly a leader in it.
Steven Martin: So was that translate to a lot of the SG&A costs we see going forward will impart the function of the leverage, if the top line grows double-digit.
Nathan Brower: Yes, it'll certainly come into play there. You know, one of the things internally, we need to evaluate this, especially given this pandemic situation that we've been going through, in which I'm not sure anyone has a clear line of sight and when it’s going to end. But one of the things we'll have to take a pretty hard look at is post-pandemic, whenever that may be to what extent do we make certain other investments in the business, whether it's an expansion of events, conventions, travel related costs and so forth. Because for the time being, or in 2020, we can't deny that we've benefited to some degree from the reduction of some of those types of activities on the SG&A side. Well, all I can say is a 13% top line growth with a reduction in events and conventions is pretty impressive.
Steven Martin: All right. What about your hemp CBD product line? What can you tell us?
Nathan Brower: Yes, so for hemp, we have just launched a – we will be launching, I should say, a couple of new products. And we will be kind of much more aggressively marketing the product line in the months to come. And there's some stuff that I probably don't talk about it yet, because we haven't implemented it. But if you've gone online, you'll see that we've completely reengineered and redesigned and reimagine the website. And we're going to continue to aggressively promote the line. There's some work still to be done, to make sure that our pricing is competitive, and to make sure that the kind of the awareness and all the marketing programs are as powerful as necessary. But again, we've got the best CBD in the marketplace. We offer – our products offer better performance, better quality and better transparency, which is a very powerful sales message. And so now I think, again, that we’ve got the website in a better position, we'll tighten up our pricing and promotional activity. And then we'll soon follow up with a much more aggressive digital activation to help increase awareness and build traction. But we're still really in the early days of hemp, I will say this, the increased focus on immune products in the marketplace overall, has shifted people's short-term focus into interviewing and somewhat away from CBD, you might have seen that and we're seeing that in kind of an overall market result, so we're still talking about 30%, 40%, 50% growth. So the opportunity is there. And we're still very, very bullish on hemp.
Steven Martin: All right? Now, I'm going to – this is also a comment, we are going through every quarter, and I'm going to address this to your Board of Directors.
Nathan Brower: Very good.
Steven Martin: It's time to do your job. Okay, and you've got $80 million of cash, you got 20 million shares. Your stock has gone nowhere for a couple of years, despite the good work of the current management. And if your Board's not prepared to do the right thing, and maybe somebody has to from the outside.
Nathan Brower: So as I mentioned, you know the Board is looking at the full range of opportunities. Right now, we are being really focused on investing in the business and protecting our position. As you know, we've got one manufacturing location that services really 80% of our production around the world. So know kind of cash on hand is really important to us right now because the messages is heard and the Board -- the Board of Directors is very focused on the issue.
Steven Martin: So that's all I can say is, giving the improvement in the EBITDA with the cash on hand, you're trading at about three and a half times EBITDA. There's probably no investment you can make that has that kind of rate of return. And I am really going to be disappointed and I'm not going to be quite as peaceful, if we go through another quarter and I hear the same language about the Board explores everything all the time.
Joe Baty: Sure, sure. Also that right now is just on keeping the business moving forward and keeping -- continuing to make tremendous strides on the top and bottom line?
Steven Martin: Well, I understand, but that's why I address these comments to the Board of Directors who may or may not be on this call because I think you guys have done the job you were brought in to do, and they have not done the job of a Board that understands its fiduciary responsibility to its shareholders.
Joe Baty: Sure. Okay.
Steven Martin: Thank you. Yeah. Appreciate the call. Take care. Stay safe.
Operator:  And we’ll take our next question from Durian Hofmann with Global Corp .
Unidentified Analyst: Hi, good day. Thanks for taking the questions and congratulations on the very good quarter, of course. Maybe, yeah, first just expanding on the condition question, especially if you just thinking about, yeah potential, like arrogance or refurbishments. And is like, in addition – well mechanization of factory in China, one of the considerations there?
Terrence Moorehead: We actually do have a relatively small facility in China right now that’s providing some good production and making good progress. We will be making some symbols to expand that, as well as expanding some of our R&D capabilities out in the region.
Unidentified Analyst: Okay. And our inorganic investments playing into your considerations at all as well?
Terrence Moorehead: I'm sorry, could you could you repeat your question? I couldn't hear you.
Unidentified Analyst: In organic investments, are they part of the considerations too?
Unidentified Analyst: I would say that the board is considering you know it as really the full range of options that certainly we don't talk about anything that's outside of the normal scope of our business right now. Most of our focuses on building our internal capabilities, building our digital capabilities in particular, as well as helping to migrate our business from being you know kind of solely channel focus to being much more consumer focused and lifecycle focused, which really means, we got to get much better and much stronger at things like personalization. So there's a fair amount of investments that we want to make there that we believe will dramatically improve our competitiveness and also dramatically transform the complexion of our business and from what we're able to do and distance ourselves from the competition, creating new competitive advantage. So right now that those are a couple of the areas that we're that we're looking at internally, anything else that the Board of Directors might be can be considering, would be out of balance for me to talk about in this form and at this juncture.
Unidentified Analyst: Yeah. Finally, just what is your being your experience, I think you had -- you said we had the first in-person sales events again in Asia. So it's a worldwide customer experience there, and then they maybe attendance levels preferences. Now where you still in the pre-COVID?
A – Terrence Moorehead : Yeah, they actually split the event up. So I think they just focused on one particular group in the Shanghai area. And it was -- I think attendance was a little bit higher than in the past. We also have people beaming into via remotely. So you get this mix of folks who were there on the ground and people believing in, but a lot of tremendous energy and people felt great being together and they did it safely and everybody is okay, which is equally as important.
Unidentified Analyst: Okay. Great. Thanks very much.
A – Terrence Moorehead : Absolutely. Thank you. Thank you, Durian.
Operator: We’ll take our next question from Nick Monroe with PRSPCTV Capital.
Nick Monroe: Hi. Congrats on the quarter. Just a quick question. You mentioned new customers in North America with the digital media advertising. Do you have any comments on the cost of acquisition of those customers and if they're going on and buying more products?
A – Terrence Moorehead : Hey, Nick. Could you speak up just a little bit. We're having a little problem hearing you from our end.
Nick Monroe: Yeah, sorry. So you mentioned new customers in North America. Can you talk about cost of acquisition for those customers, if that's increasing or decreasing as a percentage basis? And then the retention, if they're coming back in and buying more than one order?
A – Terrence Moorehead : Yeah. Absolutely, so right now, the customer growth that we're seeing is really through organic on the ground activity. So it was not through any of our digital activation or digital investment that has not started yet. And so it really is simply through repositioning the business, talking about things differently and changing our messaging, changing the website. And so, from that standpoint, obviously customers are free. But we were not making incremental investments at this point in time to drive those customers into the business. Those are really being driven by our practitioners and retailers and again kind of partnering with us and whatever work we were doing on the rebranding and product launches etcetera. So, I think that answers your question. In the future, next, we will have some -- we will have more specific kind of investment that we're looking to do as we build out our digital kind of campaigns as a force of Nature campaign, but it's designed to acquire new customers. And with respect to retention, we're still just in the first month or so of the process. Obviously, as we build out our subscribe-and-drive capabilities, our expectation is that we'll be building more people who are staying with us on an ongoing basis. And by the way, that's the only way they're going to get the therapeutic results from our products or any products, if they continue to take them, right. It's like going to the signing up for a gym membership. Now, you can't just do that first week in January, you got to keep going. And so you're going to get the benefit. Subscribe-and-drive is the way to go. And we've tried to make it as easy and as attractive as possible. So I'd say give us sometime on that when and just it's going to take time for people to understand it or love with it and for us to get enough critical mass because it's not necessarily something we expect everybody to click on the first time through. Okay.
Nick Monroe: Great. Thanks, guys.
A – Terrence Moorehead : Thanks, Nick.
Operator: At this time, it concludes our question-and-answer session. I would now like to turn the call back over to Mr. Morehead for closing remarks.
Terrence Moorehead: Okay. Thank you. Again, I want to thank everybody for listening to today's call. We have a lot going on, we really do look forward to speaking to you again next quarter, and to continue on the path to transform our business and build momentum. So again, thank you for your participation. Thanks for your support and we look forward to talking to you soon. Take care.
Joe Baty: Thank you.
Operator: Ladies and gentlemen, this does conclude today's teleconference. You may disconnect your lines at this time. Thank you for your participation.